Hiva Ghiri: Hi. And welcome to Hexagon Composites’ Q4 2021 Presentation. My name is Hiva Ghiri, and I am the VP, Investor Relations and ESG in Hexagon, and I will be moderating today’s presentation. I’m joined by our company’s CEO, Jon Erik Engeset; and our company’s CFO, David Bandele. Our agenda today includes Hexagon in brief, highlights from 2021, Hexagon Purus update, the financials, followed by an outlook and, of course, a Q&A. [Operator Instructions] With that, Jon Erik, I’ll pass over the word to you.
Jon Erik Engeset: Thank you, Hiva, and good morning, everyone. Thank you for joining us for this summary of the full year of 2021. Allow me first to spend a few minutes on recapitulating where we stand today as Hexagon and what we stand for. So it’s safe to say that the core competence of -- or at least one of the core competencies of Hexagon is Type 4 cylinder technology. That is based on 6 decades of filament winding experience starting in the U.S. in the ‘60s, delivering to the U.S. space and defense programs. Over the years, we have transformed the group from being primarily a component supplier to being a system supplier. And we package our cylinders into fuel systems and apply on a wide range of vehicles and other transportation applications, among them, heavy and medium-duty vehicles versus light-duty vehicles, rail and marine and not to forget the distribution modules, mobile pipelines for locations that are not connected to the pipeline systems. And since 2017, we have built on this long experience in fuel systems to also develop battery systems. And we’ve read after the remarkable announcements this winter that a few commentaries have said that this has been an under-communicated part of Hexagon’s business, and we can understand that. But I suppose anybody can claim that they intend to develop a technology, but it’s only after it is proven that you can truly claim to represent it. And our battery solutions have now more than 1 million miles of on-road experience. And to share also another maybe under-communicated part of our group is our vehicle integration business. So we take our solutions combined with third-party products and completely integrate the powertrain. This is about weight distribution. It’s about power distribution. It’s about the thermal management of the vehicles, and it’s about software integration. 13% of the staff at Hexagon are involved in R&D projects. And now we are focusing a lot on developing the next generation of products and solutions, smarter and more sustainable, allowing an extended lifetime of our products and thereby also contribute to lower material consumption. And doing this is by 1,500 dedicated employees across the continents concentrated in North America and in Europe but also with building up a significant presence now in Asia, working with and for some of the most notable automotive OEMs, distributors and logistics companies in the world. Focusing on what has happened in 2021, first and foremost, our solutions have contributed to the avoidance of more than 1.1 million tons of CO2 equivalents. That equals 240,000 petroleum cars off the roads or 1.3 million acres of forest. The year was not without challenges, especially with the supply chain disruptions. But in spite of that, we had remarkable progress and growth across the board. In the U.S., decarbonizing the transportation sector is much about using RNG, renewable natural gas, and we had a long range of deliveries there, including more than NOK 1 billion to one single customer. And the fact that now the major distribution companies go all in on RNG is also a very strong signal to all the other operators in North America. So we will expect in the heavy-duty truck segment a major further adoption of renewable natural gas in the years to come. The year was a breakthrough year for Hexagon Purus, nearly quadrupling its revenue, doubling organically and then doubling again with the very important acquisition of Wystrach GmbH in Germany. Also, the EU is doubling down on their legislation commitments to a cleaner future with the taxonomy and the Fit for 55 program. And we are now ready with piloting our smarter cylinders with proprietary technologies. Looking at the financials. We had -- despite the headwinds related to the supply chain and some ForEx negative effects, we had almost NOK 3.3 billion in revenues, delivering an EBITDA of NOK 381 million in Hexagon, excluding Purus. Purus, remarkable year, NOK 508 million in top line, still in a growth and development phase, investing a lot in its organization and, therefore, having a negative EBITDA of NOK 265 million. So, on a consolidated basis, north of NOK 3.5 billion in revenues and NOK 115 million in EBITDA. And as mentioned, the progress has been across the board. Corrected for FX, Agility had a top line revenue of 17%. Frankly, it could have been significantly higher had it not been for shortages of chassis towards the end of the year. Hexagon Ragasco, very solid top line, 7% growth. And Digital Wave also double-digit growth, albeit from a small starting point or a low starting point. But Hexagon Digital Wave reminds me of Purus back in 2015, 2016, and we can expect major development in that area in the years to come. And then Hexagon Purus, just a remarkable performance. And if you see the circles at the bottom of this slide, you see that the relative share between Purus and the rest of the business has increased from 6% to 17% from 2020 to 2021. And just to be precise, that is on a pro forma basis, so that includes the full year of the Wystrach revenues in that number. And several transformative agreements were secured in the year. Nikola, an order of NOK 2.1 billion. We entered into an exclusive supply agreement with European bus OEM, NOK 400 million. We entered into a global supply agreement with Air Liquide, the leading gas distributor. And last but not least, we entered into a long-term agreement on the hydrogen side with our long-standing customer, Certarus, that we have worked with for many, many years now on the mobile pipeline side, CNG in North America. We continue to nurture relationships with other players in the space. We continue to invest in the long term. And after the balance sheet date, we announced a cooperation with BMW, with Bosch and with TesTneT, a laboratory research group in Munich, to develop the next-generation storage solutions for fuel cell vehicles. And then again, this amazing set of contracts and nominations for major truck OEMs for delivery of battery systems, which will amount to NOK 16 billion with options to go up to NOK 19 billion starting from 2024. And based on these wins and also based on our increased understanding and in-depth insight in the industry and all the new projects being launched in 2021 and into 2022, we have done a reassessment of the overall market opportunity, which has led us to increase our estimate of the addressable market by a factor of 3 to 4. So now we estimate that the 2025 addressable market for Hexagon Purus is at around NOK 40 billion, growing to 200 -- north of NOK 200 billion in 2030 and doubling again to more than NOK 400 billion in 2035. And the -- in the early years, it is the battery electric segment, which will grow most, while over time, we remain convinced that it is the fuel cell electric technology that will be the dominant, especially for the heavy vehicle classes and other transportation forms. So this set of contracts on the battery side is not only very fortunate and allows us to tap into a market which is extremely important in its own right, but it’s also an enabler to win in the longer term on the fuel cell electric side because it will be the same customers, the same OEMs, the same fleets that now invest in battery electric that will go fuel cell electric in a few years down the road. So we can, with confidence, claim that we are on track to reach our revenue targets of NOK 4 billion to NOK 5 billion by 2025. When we first set that target in connection with the listing of Hexagon Purus at the Euronext Growth Exchange, this was probably seen as a very ambitious and stretched targets. With the agreements in the book, I think this now is more of a conservative target and highly realistic to reach in the next 4 years. Therefore, we supported Hexagon Purus with raising new capital on Tuesday of this week. We concluded that from the Hexagon Composites shareholders’ point of view, it would not be desirable to dilute. So therefore, we subscribed for our pro rata share, and we maintain the objective to list the company or to uplist the company, rather, to the main list of the Oslo Stock Exchange later this year for the further journey of Hexagon Purus’ development. So looking ahead to the rest of this year, there is a very, very strong demand in all segments, but we will continue to be challenged by some of the supply chain constraints. We see that there is a very inflationary environment around us, and there is also a continued shortage of several components and materials and also tight labor markets, although that seems to be relaxing somewhat, especially in the U.S. Strong order book in all business areas. We have communicated and negotiated price increases wherever possible. And therefore, we expect to see a gradual positive margin impact materializing later in the year. And we also expect the supply chain constraints to start easing now towards the mid of this year. So some margin pressure to be expected also in the first half of this year but with a rebound expected in the second half of the year. And David will talk about -- give you some more detail on that with other financial highlights. Please, David.
David Bandele: Just want to check the sound. Perfect. Thank you, everybody. Good morning for those who could join us here. I know it’s been quite challenging also getting here for some. Let me introduce you to the quarter 4 2021 highlights. First of all, record quarterly sales. So we hit a milestone, surpassing NOK 1 billion for the quarter, deserve some celebration and especially despite the continued supply chain challenges. So we did NOK 0.8 billion in revenue in Hexagon Agility and CNG LDV, so 79% growth in the heavy-duty truck market and also a 39% growth in mobile pipeline and both of those despite chassis disruption there. For Hexagon Ragasco, almost NOK 0.2 billion in revenue, strong quarter with deliveries to basically across the globe. Ragasco’s basically selling into over 90 countries worldwide. And also those deliveries to Asia that were delayed in Q3 are also delivered in Q4. For Digital Wave, 25% growth in revenue across our technologies. And finally, Hexagon Purus, a publicly listed subsidiary, as you noticed there in Jon Erik’s presentation, exceptional growth and a very strong order backlog to go into 2022. Our 73% ownership is valued at around about NOK 4.6 billion. So on the highlights for Q4, you can see on the revenue side, just over NOK 1 billion versus NOK 793 million same period last year. And for EBITDA then, NOK 112 million versus NOK 124 million same period last year. So apart from those record quarterly sales, if we correct for currency, that’s 34% underlying revenue growth, and again, as we saw growth across all our segments. You’ll notice on the EBITDA, we did a 16% margin in 2020, which is an exceptional margin versus the full year margin that we will see. So full year, they did 11%, so pretty much quite an accelerated bounce back from COVID times in Q4 2020. In Q4 2021, the 11% margin is more in line with the full year ‘21 margin, so you can see some differences year-over-year there. Furthermore, on the adverse margin development, we’ll say that the pandemic has really, really challenged us, and not only us but the whole globe and their supply chains, resulting in higher input costs and also to us. For us, we have not been able to pass through those higher input prices to our customers here, but that will be a feature for 2022. And the reason is that we have a high proportion of, as you can see, in the frame contracts and long-term agreements. But these will be passed through in ‘22. Also, we saw a spike in the carbon fiber price, so obviously, high energy prices is a big component of the input costs for them and also other factors going in there. So those costs have started to creep into, particularly, Hexagon Agility numbers in the fourth quarter. Negative mix effects in Ragasco, product mix and also in Agility. Jon Erik mentioned Certarus, which has been a long-term customer of ours in mobile pipeline on the CNG, RNG side. We signed a long-term agreement in 2021, which also included automotive supply for Hexagon Agility and hydrogen. So we’ve used our TITAN technology now to start delivering hydrogen modules. This is contract manufacturing for Hexagon Agility, but Hexagon Purus has had the benefit of selling a commercial margin of that product. So some mix -- negative mix there. Also on the CNG LDV where there’s been very low volumes to Volkswagen due to standstill there on semiconductors, again, pandemic-related, that’s been with us all year. However, high activity as we do contract manufacturing, again, mainly for Purus. And you see the distribution numbers in Purus maybe on Tuesday, if you caught that presentation, that’s been definitely a growing sector for Purus. Full -- just to complement the full catalog, we had adverse currency movements as well year-over-year. As Jon Erik mentioned, overall market demand remained strong and high backlog going into 2022. So you can see for the full year here, the picture revenue is up around about NOK 3 billion from last year. The gray bar in the middle to the left represents the adjusted for currency picture. And there, you can see that we did underlying 15% growth, which is within our targets for the year. On the right-hand side, you see EBITDA, again, adjusted for currency, 25% growth up to NOK 381 million for the year. And actually, aside from currency movements, we actually then hit spot on, on our 2021 guidance since the start of the year. And that’s despite the higher input costs, but of course, through the year, we’ve been able to have scale efficiencies and cost management to offset that. And for the full year, we’ve had positive mix, particularly in the high activity in Agility. On Hexagon Agility and CNG LDV segment alone, it’s more or less the same picture. We posted NOK 812 million in revenues for significant growth year-over-year. And EBITDA at NOK 93 million versus NOK 121 million same period last year. And really, the same impacts year-over-year for margins carried through. So it’s mix, currency and input costs that is not yet passed through to customers. You can see on the right-hand side, the revenue shares being a very heavy -- 52% to heavy-duty truck. And again, a lot of momentum in that sector that we’ve seen. We saw one customer responsible for NOK 1 billion in orders. Transit bus, solid at 16%. And it’s the refuse truck area that has just had a lower purchase cycle in 2021, and we expect that to step up in 2022. Otherwise, solid contribution from mobile pipeline. And the light-duty vehicles, again, is mainly manufacturing to Purus and mobile pipeline. So for the full year, you see NOK 2.6 billion in revenues, a healthy growth of 17% underlying year-over-year. And for EBITDA, NOK 292 million versus the NOK 232 million, very strong growth year-over-year. Revenue share is showing the same picture as Q4. For Ragasco, very strong quarter, making up for a relatively weak quarter 3, 58% growth year-over-year to NOK 171 million in revenues and significant increase in EBITDA to NOK 23 million from NOK 10 million same period last year. Again, across all geographies, demand remains strong. But Ragasco also definitely have to absorb or had to absorb a higher input cost at about NOK 5 million pressure on materials alone and also up to NOK 4 million on other items, particularly energy. So a lot of high energy costs, particularly in European operations in Q4. For the full year, revenue very much on expectation for Ragasco at NOK 578 million growth year-over-year. And the EBITDA, just under NOK 100 million at NOK 95 million versus last year’s NOK 100 million. And there, we can see the margin pressure for the full year where materials pressure has been around about NOK 15 million impact for the full year. Otherwise, you would see improvement in EBITDA margin. Very happy to see many new markets and customers, penetration there, especially in Asia. I would mention Philippines is an important market going forward, in Europe, Eastern Europe, Balkans as well and many Caribbean nations as well. So I’d like to say also that both in 2020 and particularly in 2021, Ragasco has been absorbing significant amounts of money in OpEx, mainly towards the product development then in smart cylinders, not only smart cylinders, but also sustainability-related goals, and Ragasco definitely had a high focus then on life cycle, et cetera. When it comes to Digital Wave, they posted NOK 15 million in revenues, and that’s an increase year-over-year, which is healthy. On the EBITDA side, minus NOK 3 million is as expected for the quarter versus NOK 1 million last year. The difference being that we are ramping up the organization, so significant increase in staff, about 50% year-over-year, and hence, a slightly different EBITDA picture. But on the revenue and gross margin side, lots going on there across all of our technologies. And for the full year, you can see NOK 57 million total revenues in Digital Wave, 14% increase. And minus 11%, same pattern as we see each quarter, of EBITDA but easily absorbable by the Hexagon Group. Let’s spend some time on the group numbers. So starting with the balance sheet, this includes Hexagon Purus. And to the left, you see the asset side, and you can see that, that’s grown around about NOK 400 million since the previous quarter. And what that is, is principally then the acquisition within Purus of Wystrach in quarter 4 completed around about the beginning of November. And what you do is then you have to absorb all the assets and liabilities of Wystrach into the balance sheet. On the cash side, we see -- we end the year at NOK 600 million total cash, of which NOK 450 million approximately is to Purus and NOK 150 million to Hexagon. I’ll note that on Purus, their movement in cash for the quarter, when you take away the NOK 147 million, which was the cash consideration for Wystrach, was NOK 118 million for the quarter. So very modest cash burn in Q4. For both Hexagon and Purus, we did reduce our inventory levels. For Hexagon, there’s been quite a marked increase in working capital, I would say, in total, mainly to do with a high increase in revenue, so accounts receivable increasing. And we already see that turning into cash then in Q1 2022. On the right-hand side, interest-bearing debt for the first time, Purus has some interest-bearing debt, and that is really the debt that comes over from Wystrach. Otherwise, Hexagon has NOK 1.12 billion in IBD. And the other major change there you’ll see is in other long-term liabilities, growing to NOK 483 million. Again, these are due to Wystrach. It’s a step-up -- a deferred tax liability due to the step-up in value. It’s also a purchase consideration that’s deferred to March ‘23, that’s a seller’s credit, and also earn-out provisions should Wystrach hit certain milestones. Equity ratio of 53%, a solid balance sheet going into 2022. This picture now strips out the group and looks at the leverage just for Hexagon, excluding Purus. And that orange bar on the top will show the position, which net interest-bearing debt of just under NOK 1 billion. And then that translates then into leverage of 2.6x and very comfortable. And you’ll notice, usually, our higher leverage quarters are quarter 4 and quarter 1 where our inventories are at their highest. In December 2021, pleased to enter into a new financing agreement of NOK 1.7 billion with our long-term standing partner and also a very accommodating new partner as well coming into the bank deal. We had a term -- we structured this as a term loan for NOK 1.1 billion. We used that to refinance the outstanding bond, and we have a multicurrency and overdraft facility of NOK 600 million. Not a lot drawn on that as we close out the year. So very pleased to have that. It’s a very flexible structure. It also introduces that we have Hexagon Purus now as a monetized asset at the end of the day, which gives banks great comfort. And at the end of the day, it’s also considerably cheaper as well. Obviously, the interest rates being lower than the bond. So as well, we have a good flexibility for our strategic agenda going forward. Also just to note then on Purus, NOK 453 million in cash, as we noted earlier, and IBD then of NOK 58 million. And just to reiterate, the loan agreement, so Hexagon Purus is ring-fenced from that loan agreement. And as Jon Erik mentioned, we -- Purus raised NOK 600 million from -- with our pro rata participation just the other day, a successful private placement. Okay. So overall summary. I’d like to present this slide because the Hexagon Group results you see on the far right really depend on 2 separate business cycles here, Hexagon mature, over NOK 1 billion in revenues and double-digit EBITDA. And Purus, rapidly growing revenue, I’ve got to say, NOK 259 million and negative NOK 54 million in EBITDA there. Consolidated then, we have more of a muted EBITDA picture. So summarizing quarter 4. Strong results despite headwinds. Good demand and strong momentum in RNG. Ragasco continues to deliver according to expectations, and both businesses have yet to pass on their higher input prices to customers. So this gives a full year picture. I think Jon Erik has covered that well. But we really look forward to Hexagon Purus exceptional year of growth continuing and delivering to plan going forward. And every year, it’s tradition, we allow ourselves a financial scorecard. So I’m not going to break with tradition this year. So for Hexagon, excluding Purus, I would describe the year as profitable, resilient against all the disruptions and also sustainable growth; 12% EBITDA margin; NOK 292 million cash EBITDA in Hexagon Agility; NOK 95 million in Ragasco; leverage, comfortable 2.6x; equity ratio of 56%, very strong. And at the end of the day, optionality with Hexagon Purus ownership, our current valuation is NOK 4.6 billion for our 73%. So a very strong position going into 2022. So let’s have a look at what that guidance looks like. We expect growth across all segments. Why do we expect that? We have a very high order book and gives us very good visibility for the year. But we do acknowledge that this pandemic disruption will continue into 2022 and start to normalize, we believe, by the midyear position. If we look at Hexagon Agility, this sustainability-driven demand, which has really been a feature since about the last 3 to 4 years. Before, it was heavily economically driven, but now it’s firmly sustainability-driven. So that will just only continue to grow, and we see that in our backlog, particularly in the heavy-duty automotive sector and, of course, mobile pipeline. I did mention we will see a bounce back in refuse. We have our large customer waste management and good order backlog there supporting that. And also other customer medium-duty -- in the medium-duty space, UPS will begin also increasing their volumes in 2022. We will have a drag from increased input prices and a delay in recouping those prices through higher sales for Agility. That means that the effect will only really start being noticeable within Q2. And again, that’s because we have high backlog at ‘21 prices. So we’ll need to wind those out. And again, the new prices for ‘22 will start kicking in a little bit later. For Ragasco, they are targeting 2 large new customer orders as also predict strong recurring demand from Europe, and volume and scale, together with a successful pass-through of the higher input prices to customers, which is in place and should already take effect from January from 2022 early. There will continue to be some drag from continued product development, of course, on the smart cylinder program, and we look forward to completion of that. For Digital Wave, we only see very good growth here, increased demand for our MAE testing services across the board and also for our ultrasonic examination systems. And here, we will also continue to increase the organization and skills to ensure that we are in the best position to capitalize on those opportunities. So in total then, revenue growth supported by strong backlog with some margin pressure in Q1 until the price mitigation begins to normalize that within Q2, and we’ll see our profitability increase to the back end of the year. So because of those uncertainties, our initial guidance for the full year of 2022 is a range. What we do see though is a double-digit growth and also double-digit EBITDA margin, so resilient in these challenging times. On the revenue side, to the left, we closed the year on NOK 3.3 billion. We see a range of between NOK 3.7 billion and NOK 3.9 billion in revenues, but of course, aiming for the 15% minimum top line growth. On EBITDA, because of some of those uncertainties on the supply chain and input costs and the rate of being able to pass those through to customers, we see a range, a very conservative NOK 400 million, going up in realism, up to NOK 450 million. So a range between NOK 400 million and NOK 450 million for EBITDA, and we will monitor that through the year. And on that note, I will ask Jon Erik to come back. Thanks once again.
Jon Erik Engeset: Thank you, David. So the key takeaways. First of all, very strong order backlog going into 2022. We will continue to manage the effects of the supply chain constraints that David has elaborated on and also to mitigate the inflationary effects of those constraints. However, as you’ve seen, Hexagon remains very much agile and robust enough to navigate through these challenges. And therefore, we expect continued growth, continued profit improvements. And we have now set our eyes on the 2025 revenue targets of around NOK 6 billion for the group, excluding Purus, and as I said now, very confidently, NOK 4 billion to NOK 5 billion in Purus in addition. So with that summary, we welcome any questions that you may have.
A - Hiva Ghiri: Great. Thank you, Jon Erik. Thank you, David. We have received some questions from the web audience, but let’s start with asking anybody here in auditorium if there are any questions to Jon Erik or David. If not, then we can start with the audience. So we have a question. What is the margins on all of the major NOK 1 billion contracts for Hexagon Purus in the battery electric segment?
Jon Erik Engeset: So as you will appreciate, we will not comment on the specific margin levels. But I would say it’s the normal margins, and it is expected to be a business with very healthy return on investments.
Hiva Ghiri: Thank you, Jon Erik. We have another question from the web audience. So it sounds like the financing facility gives good flexibility, good strategic flexibility and in your words, cheaper cost. Could you please explain how this was achieved?
David Bandele: Sure. As I mentioned, very good relationships with our financiers and very accommodating new partners. But I think one of the main benefits of the structure or the difference between our previous refinancing periods is really since we listed Hexagon Purus. So having Hexagon Purus, as I said, it’s valued at NOK 4.6 billion. That really gives a lot of comfort to security and allows both cheaper source of financing through the banks, but also very -- a lot of flexibility. Hexagon is a company that you’ve seen that we continually grow. We’re very agile and tend to make acquisitions and growth. So we do need that sort of flexibility going forward, and we’ve been able to balance it quite well at this time. So very happy with the facility.
Hiva Ghiri: Thanks, David. No questions from the audience here. Okay, then I will proceed with the questions from the web. So another finance-related question, David. You achieved the margin accretion despite the greater headwinds in 2021. What was the key factor or key factors for this?
David Bandele: Yes, it’s been a challenge. It’s definitely a challenge. We’re used to challenges, absolutely. I would say agility, like you see in our name, Hexagon Agility, we are a very agile organization. We’re used to a lot of change. The pandemic has brought a lot of change. But I think the whole organization acts in that way and are very committed. And I think the collective, you can say, decision-making kind of allows us to navigate these types of conditions, and the results come out of it. So integrity and drive are our values, and we have a very entrepreneurial culture. But that agility, I think, is key.
Hiva Ghiri: Thank you. Jon Erik, a question for you. With the recent Purus capital raise and Hexagon’s pro rata participation, how should we think about your long-term plans with Hexagon Purus?
Jon Erik Engeset: So we -- our primary objective has been to set Hexagon Purus up for success. And I think we have come a long way there. We started that process back in 2016, carved out some of the business activities, completed that in 2019 after a very thorough strategic review and started executing on that strategic plan in 2020, which led to then the spin-off and the listing on Euronext Growth towards the end of 2020. And then, obviously, we also want to maximize shareholder value, which is -- and we see really no conflict between supporting Purus and setting them up for success and maximizing that shareholder value. It is not an objective per se for us to have 73% ownership for that sake to have a controlling stake. We also see some benefits of being able to deconsolidate over time. But obviously, we will do that at the point in time when we think that, that is the optimal value creation opportunity for the Hexagon Composites’ owners.
Hiva Ghiri: Thank you, Jon Erik. We have a few more questions from the web. So it’s difficult to understand your guidance. Run rate H2’s hydrogen EBITDA is NOK 440 million. Wouldn’t delivering only NOK 400 million of EBITDA in 2022 be terrible? And there we go, a terrible disappointment, here we go, yes.
David Bandele: No, just to explain the ranges. So on the revenue side, we continue to have these supply chain disruptions on chassis, et cetera. And we’ve seen that the global supply chain, you don’t know where the surprises will be. So we have to factor in that even though we have a lot of demand, it could slip and be pushed away or delayed. So the revenue, not an issue. So I don’t think the question was on revenue. But on the EBITDA side, it’s to do with no one really can predict how these input prices are going. So hopefully, they are stabilizing at these rather high levels now. But they could go up. They could go down. We have implemented these mitigation opportunities on the revenue side. We have long-term agreements, frame agreements. It’s -- they’re not as easy and flexible to change those prices. So we need to accommodate a range of values on EBITDA. So saying that, as I mentioned, the NOK 450 million is very realistic. NOK 400 million is more a conservative scenario for the unexpected. And if we achieve NOK 450 million, based on the NOK 381 million last year, I would consider that a good result.
Hiva Ghiri: Thanks, David. So follow-up question is on the revenue side. So run rate hydrogen was NOK 3.7 billion. So Hexagon, excluding Hexagon Purus, which is the low end of the 2022 revenue guidance. Has the order momentum you referred to in 2022 -- sorry, Q2 and Q3 presentations abated?
Jon Erik Engeset: I think there must be some confusion here because this view refers to hydrogen, and we didn’t have a revenue of NOK 3.7 billion, or...
Hiva Ghiri: Run rate revenues of Hexagon, excluding Hexagon Purus.
David Bandele: Okay. Yes. I can -- I think it’s the answer I gave last time. So we closed on NOK 3.3 billion. So again, we see a realistic NOK 3.9 billion, which is a good run rate exactly as we guide for. But there could be delays, et cetera, which draw that down to NOK 3.7 billion. So no change really. We ended 2021 year-over-year growth of 15% underlying. We will intend to at least match that. And the difference is that we come into the year with a record backlog, I would say, particularly in Hexagon Agility. Unfortunately, the other side of that is that they’re on ‘21 prices, but we intend to recoup as much as we can in ‘22.
Hiva Ghiri: Thank you, David. Thank you for the clarification. So we have another question for you. How will Hexagon finance the cash contribution in Purus’ private placement?
David Bandele: We mentioned our flexible banking facility, so we will just draw on those.
Hiva Ghiri: Thank you. And one more here. This is for Jon Erik, I think. Could you give us any updates on China and your JV with CIMC?
David Bandele: Can I just make one other point as well?
Hiva Ghiri: Of course, you can.
David Bandele: So again, Hexagon, excluding Purus, cash generating. So liquidity, NOK 400 million-ish EBITDA last year. We cover our CapEx and have excess liquidity over there. So we will continue to finance also due to our operational cash flows. Sorry, Jon Erik.
Jon Erik Engeset: I think the question was on China on our JV there.
Hiva Ghiri: Correct.
Jon Erik Engeset: Which is proceeding very well. So the partners have spent most of 2021 on doing the detailed planning, and we are soon ready to take it to the next phase and start the groundbreaking activities and building the facilities there. And in parallel, a lot of encouraging confirmatory feedback from the market there. So China, for sure, is going to be a very, very vibrant hydrogen market in the years to come.
Hiva Ghiri: Thank you. One more question I think both of you can answer, but maybe Jon Erik. How big is the RNG opportunity in the Agility business 2 to 3 years out? Are you seeing any -- an inflection in the demand outside of Certarus’ relationship? So I think...
Jon Erik Engeset: Outside of Certarus’ relationship?
Hiva Ghiri: I think there are 2 separate questions. So the one is Agility opportunities with RNG in the next 2 to 3 years, and then how we see the demand outside of Certarus’ relationship.
Jon Erik Engeset: Yes. So as you saw from my summary slide, we expect the Hexagon business, excluding Purus, to double from NOK 3 billion to NOK 6 billion in the next 4 years. And a significant part of that is expected to come from the U.S. market for RNG, CNG truck. So if we go back a few years, we saw a similar trend. But since then, really, the growth has been on the bus side in Europe and in North America. So very low -- starting from a very low level of adoption for RNG in the U.S. But the fleet operators in the U.S., they focus on RNG as their main strategy for decarbonization of transportation. And as I mentioned, we see now the major fleets adopting it and going all in on RNG. That is also signaling to the smaller fleets, and we see this momentum building up. The limiting factor will be availability of cylinders. So I think we, together with the other players, will be what is the most constrained capacity for the time being. But we will need to find solutions to that. And then we will see very strong double-digit growth in the years ahead. Very optimistic. The other question was related to Certarus, and Certarus is now a partner with us, both on the CNG, RNG side, has been for many, many years, but also on the hydrogen side. So they also see the major hydrogen opportunity developing. And coming back to Purus, what is also very important to notice is that it is that distribution segment which will give most growth in the near term in the areas, which is logical. First, you need to develop the infrastructure. Then the distribution modules are a very important part of that. And that business is already at a profitable level, double-digit EBITDA. So that is also a very good confirmation for us that with scale, these markets will mature into profitability. And with Certarus, we have cooperation in many projects, and we expect that to be a very key player in those segments in the air side.
Hiva Ghiri: Thank you, Jon Erik. I’m just going to do one more refresh here to see if we have any further questions from our web audience. It doesn’t seem like it. Do we have any questions from the audience here in our atrium? No. Then that wraps up the questions from our audience. On behalf of Hexagon Composites, I would like to thank you for spending this morning with us, and we look forward to seeing you soon again. Thank you, and have a lovely day.
David Bandele: Thank you.
Jon Erik Engeset: Thank you.